Operator: Good day and welcome to The New York Times Company second quarter 2010 earnings conference call. Today's call is being recorded. A question-and-answer session will follow today's presentation. (Operator Instructions). For opening remarks and introductions, I'd like to turn the conference over to your host, Ms. Paula Schwartz, Director of Investor Relations. Please go ahead, ma’am.
Paula Schwartz: Thank you, Jason, and good morning, everyone. Welcome to our second quarter 2010 earnings conference call. We have several members of our senior management team here to discuss our results with you, including Janet Robinson, President and CEO; Jim Follo, Senior Vice President and Chief Financial Officer; Martin Nisenholtz, Senior Vice President, Digital Operations; Denise Warren, Senior Vice President and Chief Advertising Officer, The New York Times Media Group and General Manager NYTimes.com; and Roland Caputo, Senior Vice President and Chief Financial Officer of The New York Times Media Group. All comparisons on this call will be for the second quarter of 2010 to the second quarter of 2009 unless otherwise stated. Our discussion will include forward-looking statements and our actual results may differ from those predicted. Some of the factors that may cause them to differ are included in our 2009 10-K. Our presentation will also include non-GAAP financial measures and we have provided reconciliations to the most comparable GAAP measures in our earnings press release, which is available on our corporate website at www.nytco.com. And, with that, I’ll turn it over to Janet.
Janet Robinson: Thank you, Paula, and good morning, everyone. We were very pleased to report persistent strength in our operating performance for the second quarter with June wrapping up on especially solid footings. We saw further positive trending in both print and digital advertising revenues and ended the quarter roughly flat in overall advertising revenue versus the second quarter of 2009. While we know our work is not done, let us reflect for just one moment what a different a year has made. The key elements that converge to deliver this quarter’s strength are the recovering advertising market, the impact of having taken cost out of the business and our consistent moves into digital platforms. In the second quarter, while we experienced month to month volatility, we started firming in the rate of advertiser spending across our newspapers, websites and other platforms. The company’s declining operating expenses also contributed to the growth in our operating profit. Some of the actions that supported our successful effort were managing costs even as we invest in new products, expanding our digital offerings as we head toward a launch of NYTimes.com pay model and step-up our mobile efforts including our recently released iPad and New York Times Scoop ads, leveraging our brand promise of high-quality journalism that engages audiences across multiple platforms and realigning our asset portfolio to support our core operations. We achieved this strong growth in our operating profit in the second quarter, which excluding depreciation, amortization and severance and a special item in 2009, increased 39% to $93 million from $66 million in the second quarter of 2009. On a GAAP basis, we recorded operating profit from continuing operations of $61 million, more than doubling our operating profit of $23 million from the same period of 2009. Diluted earnings per share from continuing operations excluding severance expense and special items more than doubled to $0.18 per share compared with $0.08 per share in the same period of 2007. On a GAAP basis, we reported diluted EPS from continuing operations of $0.21 compared with $0.27 in the second quarter 2009 period. Our results involve a couple of special items which Jim will review with you. Cost control remain a solid contributor to our improved operating performance in the quarter with the operating expenses declining 4%. As we have said, while we remain vigilant about managing our costs, these efforts will become much more challenging in the second half of the year. Jim will discuss this as well. Another one of our strategic focuses is managing our asset portfolio. Early in the second quarter, we completed the sale of about 7% of our interest in New England Sports Ventures for a pretax gain of approximately $9 million. We continue to hold a 16.6% stake in NESV and we are still exploring the sale of this asset. In January, we announced that we will be introducing a pay model for NYTimes.com in 2011. And we have a few second quarter developments to report on that front. We have transitioned from the requirement’s base into active development mode, building the systems and infrastructure to support the customer service and production requirements of our cross-platform strategy. As we have previously indicated, we will be announcing pricing and further information as we get closer to the launch. Now, let me provide you with more detail on our second quarter revenues. Total revenues for the company increased 1%, shifting into positive territory from the first quarter year-over-year decline of 3% with advertising revenues flat, circulation revenues up 3% and other revenues up 1%. Substantial growth in digital advertising revenues which rose 21%, offset a 6% decrease in print advertising revenues and kept our total advertising revenue flat compared with the second quarter of 2009. These numbers clearly demonstrates the positive impact of transitioning into an increasingly multiplatform company. Online advertising revenues have become a much more significant part of our revenue mix and made up 26% of our total ad revenues, up from 22% in the second quarter of 2009. At the News Media Group, which includes The New York Times, New England, and Regional Media Groups, ad revenues decreased 2% due to lower print advertising. By advertising category, national revenues were up 4%, retail was down 11%, and classified was down 9%. Within the classified area, real estate declined 15%, automotive was down 6% and recruitment fell 1%. The print advertising decrease was 6% for the quarter, a marked improvement from the 12% decline in the first quarter. Also notably, print ended the quarter at nearly flat in June. The decline for the quarter was offset by 20% growth in online advertising revenues. Significantly, our healthy online growth is coming in multiple category, national display advertising, retail display advertising, and also real estate classified advertising. We experienced better ad revenue trends across the News Media Group as all of the major categories, national, retail and classified ended the quarter on more stable footing than they started it with the national category, particularly, finishing up 10% in June. The Group’s total advertising revenue which declined 2% year-over-year in the quarter decreased 3% in April, 6% in May and rose 3% in June. During a time when financial prognosticators are looking to say to any and every economic indicator for signs of hope, we find that general trending in these ad results be fairly encouraging. Now breaking down the News Media Group into its component properties, at the Times Media Group, advertising revenues were up 1% in the quarter, as decreases in print advertising were more than offset by an impressive growth in online display advertising. The national print ad categories where we saw the largest gains were corporate from BP’s oil spill messaging as well as increased spending from a number of other energy and alternative energy company, financial services led by increased spending by credit card companies and domestic investment firms, automotive display on higher spending by domestic and foreign manufacturers and advocacy, which saw our advertising from a number of national and international organizations. The national print ad categories where we saw the largest decline were studio entertainment, where studio provided limited support for new releases and the films released this spring did not match the performance of those in the second quarter of 2009. Telecommunications, where wireless carriers reduced spending, and live entertainment led by declines from Broadway shows. Firm growth in the online national advertising was led by strength in the luxury goods group as well as the financial services, corporate, and media categories. It is important to note that the Times is in a new unique position in the national ad market, both in print and online was about three quarters of its ad revenues coming from national advertisers. With strength beginning to return to the advertising markets, our luxury advertisers are increasing their spending as well as evidenced by the revenue growth we saw across our website in the quarter, including within our T-style franchise. We attribute this to our industry leadership position in the online luxury space, which we have the expertise and determination to protect through a constant innovation. Although, classified advertising at the Times Media Group decreased in all three major categories, real estate, recruitment, and automotive. Recruitment and real estate ended the quarter in significantly better shape than they started in April. Retail advertising revenues showed continued softness primarily due to a decline in the mass market category. At the New England Media Group, advertising revenues declined 9% in the quarter, due to weakness in print advertising. National ad revenues were down as growth in online revenues could not offset print declines. Decreases in the telecommunications and studio entertainment categories more than offset gains in the live entertainment and bank categories. Retail advertising revenues were lowered due to by healthy online gains led by softness and print categories including department stores and home furnishing. Classified advertising at the New England Media Group was soft in real estate and automotive advertising, but recruitment gains largely offset those losses with consistently positive performance throughout the quarter, ending with strong growth in June. At the Regional Media Group, advertising revenues decreased approximately 7%, primarily due to weakness in retail and classified print advertising. The rate of decline in classified real estate was fairly consistent, although, recruitment advertising rebounded during the quarter. As far as how the average recovery is shaping up geographically, our Florida properties continued to struggle in the real estate classified category, in line with larger economic conditions there. Although, BP’s oil related display spending partially offset those losses in our Florida markets in the quarter. The Carolina properties which consisted Spartanburg, Wilmington, Hendersonville, and Lexington have seen especially strong growth in automotive classified advertising while the other markets have not shown a clear trend in that category and the majority of our regional properties with the exception of Spartanburg, Santa Rosa and Lexington. So solid gains in recruitment classified advertising in the second quarter. At the News Media Group, circulation revenues grew 3% as we were able to command higher subscription and newsstand prices at the Times and the Globe. So the third component of the Group’s revenues, other revenues were flat compared to the same period last year. Thanks to our multi-platform strategy, we’re extending our reach and growing our engagement with readers and users. That, of course, all begins with preserving and enhancing the strength of our core brand and the company’s ceaseless commitment to the very highest standards of journalism that was demonstrated in the second quarter by the Times journalist who won our four Loeb Awards, one of the highest honors in Business Journalism. And earlier this month, in a true tribute to our innovation, our company received a total of 3 Emmy Nominations in the News and Documentary Category for online video at NYTimes.com and Boston.com. We are proud of these achievement and of our ever-growing list of award-winning journalists. Our commitment to showcasing in this premium journalism through multiplatform innovation was very evident during the second quarter. In June, we named the newest editor of our T Magazine, which has been at the forefront of luxury magazines since its debut in 2004. We are thrilled to have the renowned fashion editor Sally Singer join The New York Times and we are excited to see her experience and imagination that work on our successful franchise. Elsewhere in the paper as we continue to invest in the local report, we made some changes to the weekend section in May in an effort to further delight and target New Yorkers. Maintaining our leadership role as the New York areas go-to source for information on all aspects of metropolitan living and print and online is a part of long-term commitment to our roles as a hometown newspaper. Some of our product changes in the second quarter were more digitally driven in nature. Although, most of them, of course, include a press component. In April, we launched Business Day online, a news section front for Times Digital Business Coverage and we have received a very positive response from both readers and advertisers. In June, we announced that we will incorporate the Political Blog 538 which gained widespread recognition during the 2008 Presidential Election into NYTimes.com’s political news section later this summer, enhancing our already stellar reporting in that area and expanding our polling analysis ability. We are also in the midst of a significant expansion of our popular deal book blog, increasing our staff in that area along with our ability to cover breaking financial news. All of these digital efforts have helped to ensure that NYTimes.com remains the most highly trafficked newspaper website in the United States and to keep the company as a whole among the top 13 most popular parent company site. Expanding our reach in audience has driven our investments in our online businesses as well as our efforts to our audience in print, online, mobile, e-readers, social media, and other products. In particular, during the past couple of years, the Times has launched a number of mobile products and apps and advertisers are making good use of our large mobile audience. In June alone, we had approximately a 106 million page views from our mobile sites and apps. We’ve also reached roughly 4.5 million downloads of our iPhone News App since its launch two years ago. We continue to embrace innovative new platforms and devices that provide rich experiences for our users, for example, with the Apple's launch of the iPad in April, we simultaneously released the free advertising supported New York Times Editor's Choice App, sponsored originally by Chase Sapphire, later by Chanel, with an interactive rich media add unit, and by this month by Cap Gemini, with many others lined up for future placements. With more than 400,000 downloads of editor’s choice already, it is becoming very clear that top quality advertisers are prepared to follow The New York Times content to any and every platform. The Times is also planning a full paid out for the iPad as part of our overall paid strategy. In the second quarter, the company launched a variety of other iPhone product as well. In April, we debuted our calorie count app, the About Group’s first app. Calorie count is results oriented dieting app, features an easy-to-use dashboard that facilitates navigation, a comprehensive nutritional analysis of food consumptions and tools to view food activity and weight loss. We also debuted our new Scoop ad for the iPhone, which is the three New York Times editor’s guide to the best things to do in New York City. The Scoop sold more than 100,000 downloads in its first month and it’s already being lauded for its accessibility and functionality. It also has a web component under the NYTimes.com banner. At the same time that we are extending our reach to new audiences, the company remains a leader in advertising product innovation, capitalizing on the value of our core brand to build premier positions in the new digital media landscape. NYTimes.com continues to be an innovator in brand advertising and marketers come to us for our reach, the quality of our audience and our ability to create and execute unique campaigns. As a result, we saw a sizeable gains in online display advertising during the quarter with large format ad units from blue chip advertisers such as Infinity, Lufthansa, Sheraton, and Cadillac. The About Group also had another stellar quarter. Total revenues rose 24% to $34 million from $27 million in the second quarter of 2009. Advertising revenues rose 24% as well bolstered by solid gains and both display and cost per click advertising. Display advertising showed strong growth in categories including consumer packaged goods, travel, and food and beverage. The About Group’s operating cost increased 8%. And excluding depreciation, amortization and severance rose 10% to $16 million from $14 million, primarily because of higher compensation cost and marketing expenses. Operating profit continued trending upward rising 50% to $15 million from $5 million in the second quarter of 2009. The About Group’s operating margin expanded to 46% in the second quarter, up from 38% in the same period of last year. Total revenues from all of our Internet business has increased approximately 21% to $94 million from $78 million in the second quarter of 2009. Internet businesses accounted for 16% of the company’s revenues in the second quarter versus 13% in the same period of 2009. Total Internet advertising revenues rose 21% to $82 million from $68 million in the previous period. Based on the early part of this quarter, third quarter revenue trends for print advertising are expected to improve from the levels of the second quarter, while digital advertising is expected to trend in the mid-to-high teens. The low single digit circulation revenue growth, we experienced in the first part of 2010, is not expected to continue in the second half of the year as we will be cycling past the June 2009 price increases at The New York Times and the Boston Globe and thus expect declines in circulation revenues of 3% to 5% in the third quarter. Now, let me turn the call over to Jim, who will give you more details on our results.
Jim Follo: Thanks Janet. We are maintaining our focus on expense control. Operating cost declined 4% in the second quarter, driven by a decline in newsprint expense in various other expenses. Getting to the special items, our second quarter earnings were favorably affected by the $0.03 instrument gain on a sale of a portion of the company’s interest in NESV. Earnings per share in the second quarter of 2009 ended favorably effected by a $0.26 via a tax benefit related to a change in estimate for income taxes in the first half of 2009 and unfavorably affected by $0.04 or premium on the redemption of notes and by $0.02 charge for pension withdrawal liability under a multi-employer plan related to the closure of city and suburban as well as a curtailment gain – a curtailment charge resulting from the freezing benefits under our company sponsored pension plan. Severance costs were 16% lower at $1.4 million compared to $1.7 million in the second quarter of 2009. Depreciation and amortization decreased to $30 million from $34 million, primarily because of the accelerated depreciation expense recognized in the second quarter 2009 for assets at the Billerica printing facility. For the year, we expect depreciation and amortization to be between $120 million and $125 million. Newsprint expenses declined 15% in the second quarter, of which 8% was attributable to lower consumption and 7% to lower pricing. Newsprint prices rose in the second quarter, but we’re still lower in the same period last year. Newsprint prices have increased as the year progressed, such that, we believe our newsprint price variance will become unfavorable on a year-over-year basis beginning in the third quarter. Accordingly, we expect that high-end newsprint prices will negatively effect operating expenses by approximately $25 million for the second half of 2010, exclusive of the favorable impact on operating expenses of lower consumption. Income from joint ventures in the quarter doubled year-over-year and was $17 million, entirely due to the NESV sale. Excluding the gain, income from joint ventures declined due to lower pay per selling prices at both paper mills in which the company has investments. For the year, we expect income from joint ventures to be between $5 million and $10 million, excluding both the gain of $13 million recorded in the first quarter, from the sale of an asset at one of our paper mills in which the company has an investment and the $9 million gains we reported in the second quarter from the NESV sale. Net interest expense decreased 5% in the quarter to $21 million from $22 million in the second quarter of 2009, mainly as a result of lower average debt outstanding, offset in part by higher rates on our debt. In 2010, we expect net interest expense to be between $85 million and $90 million. Our focus on the balance sheet is delivering real results. We have continued to manage our liquidity position and finish the quarter with more than a $100 million of cash even after the pension contributions that I’ll discuss with you next. We reduced our net debt and capital lease obligations by roughly one-third to $670 million from its balance at the beginning of 2009 and we had no outstanding borrowings excluding letters of credit under our revolving credit facility in the quarter. Because we have restructured our debt last year, we’ve lengthened our debt profile and now the majority of it matures in 2015 or later. In the second quarter, the company made discretionary contributions of $87.5 million, the certain of its company-sponsored qualified pension plans. The company may make additional discretionary contributions through its company-sponsored qualify plans in 2010, depending upon cash flows pension asset performance, interest rates, and other factors. Our effective income tax rate was 44.6% in the second quarter. The effective tax rate for the first half of 2010 was 53.4%, primarily because of a $10.9 million one-time tax charge for the reduction in future tax benefits or retiree health benefits, resulting from the Federal Healthcare Legislation enacted in the first quarter of 2010. The tax benefit for the first half of 2009 was primarily due to an adjustment to reduce the company’s reserves to uncertain tax positions. We have taken decisive steps to reduce capital spending, which further contributes to our improved liquidity. Capital Expenditures totaled $6 million in the quarter and $10 million year-to-date. For the year, we project capital spending to be between $45 million to $55 million, including amounts associated with technology required to support or pay initiative for NYTimes.com. While we will remain diligent managing our operating expenses, our year-over-year cost trends will become more challenging in the second half of the year particularly in the third quarter due to the impact of raising newsprint prices, the timing and level of variable compensation, the elimination of certain salary rollbacks, increased promotional spending, and other costs associated with the launch of NYTimes.com paid model while we also cycled pass certain cost initiatives in the third quarter of 2009. As a result, we expect higher year-over-year costs and a low mid single digits in the third quarter of 2010. Although, fourth quarter costs are expected to be comparable with the same period last year, despite significantly higher newsprint prices. As mentioned in our results this morning, we are well positioned to thrive in the evolving media marketplace. Thanks to the significant progress we made and continue to make in reinventing our enterprise. Despite an increasingly competitive environment and volatile economic conditions, we believe that staying committed to our brand promise of high-quality journalism that engages audiences across multiple platforms we will ensure that The New York Times Company remains a dominant force in the media landscape. And, with that, we’d be happy to take your questions.
Operator: Thank you, sir. Question-and-Answer session will be conducted electronically. (Operator Instructions). And we’ll take our first question from Alexia Quadrani from JPMorgan.
Alexia Quadrani – JPMorgan: Thank you. Just a couple of questions. You mentioned that Q3 is trending better than Q2 in terms of advertising revenues. Could you specifically say if July is turning similar to June? And then, my second question is on the display advertising environment, Yahoo! had mentioned a falloff in display advertising in the back half of June, did you see anything similar to that in the back half of June? 
Janet Robinson: So Alexia, our current state of the market for Q3, taking into account the limited visibility which still characterizes, the ad market shows that the vast majority of are largest categories are either showing stable growth trends or improved growth trends over Q2. There’s only a handful of category that we see more difficult trends versus Q2 and those are primarily due to non-repeating comps in those categories.
Alexia Quadrani – JPMorgan: And on the display side?
Jim Follo: In the context of Yahoo!, we did not see that kind of significant decline in June in the – across the company in the Internet businesses in this way.
Alexia Quadrani – JPMorgan: Okay. And then just a follow-up question I think on the cost guidance which Jim you went through a bit in the call and then in the release, were you expecting low to mid single digit increases in cost in the third quarter, but then flat in Q4? I guess could you give us a bit more detail of why this is why it’s really sort of a Q3 blip? I know your comps are probably – I know newsprint coming up significantly is part of it. But, I guess, my bigger question is, you’ve mentioned in the past trying to say keep cost in mind with revenues if Q3’s kind of blip. Will you think you’ll – you think that’s still sort of your guidance in Q4 and in 2011?
Jim Follo: Yes, well let me say that our statement which is keeping costs in line with revenues is really – is not necessarily quarter-to-quarter, there will certainly be blips in quarters. But third quarter clearly will be a blip, given that fourth quarter we do expect revenues, cost to be relatively flat. The way we book some of our variable compensation does create some real volatility from quarter-to-quarter, so I think we’ll see some variable compensation increase meaningfully in the third quarter, but some of that reverses itself in the fourth quarter. Newsprint prices, I said, I suggested will be up about $25 million in the second half of the year, that’s pretty evenly split between those two quarters. We had a couple of things last year in the third quarter, which benefiters on the cost side one time we had a legal settlement, where we adjusted a legal reserve in the third quarter, that contributed $3 million of negative comps year-over-year. Some of the meter model spending is also going to impact both the third and the fourth quarter, but we’ll see those pretty equally. So it is a bunch of things. I do think third quarter is bit of an aberration. I think the fourth quarter should prove that out. 
Alexia Quadrani – JPMorgan: Thank you.
Operator: Thank you. (Operator Instructions). And we’ll move on to our next question from Craig Huber from Access 342.
Craig Huber – Access 342: Yes, good morning. I have a similar question on your cost discussion here for the third and fourth quarter. Can you give us a better sense of how much you have cost associated with the online payroll here is going to hit third and fourth quarter? Are you talking maybe roughly 5%, $1 million per quarter?
Jim Follo: A little higher than that, but I’d rather not get precise.
Craig Huber – Access 342: Okay. And then on the variable cost side for the third quarter, how much should investors expect of that to be up versus the second quarter? And I think you should it would tail back down in the fourth quarter. Will the fourth quarter, are you envisioning turning back down to roughly the second quarter level?
Jim Follo: Well, I think what we suggested in the press release that we thought fourth quarter cost cash expenses would be flattish, despite the fact that we’re expecting in newsprint prices to probably contribute at least, say $12 million or so of increased costs in the quarter.
Craig Huber – Access 342: (Inaudible) about the variable, the variable compensation costs, in the third quarter you said it would spike in the third quarter, but it would come back down in the fourth. Will the fourth quarter level be somewhat similar to the second quarter? 
Jim Follo: Essentially. I think that’s essentially right. That’s correct.
Craig Huber – Access 342: Okay, then, while I have you here for a tax rate question, I think you adjusted the so-called one-time items in the first half of the year your tax rate was roughly 43%, what should we expect in the back half of the year for tax rate? 
Jim Follo: We typically guided somewhere around that for is kind of a full-year rate. Rates can be tend to be lumpy, given the accounting rules of when you adjust in and out some certain reserves, but I would say generally that is a good rate to use. 
Craig Huber – Access 342: And then, Janet, you’ve said in the past, I believe, your advertising pricing at your New York Times flagship paper is flat maybe up 1%. Could you confirm that here for the second quarter if you would? And then, also can you talk about the Wall Street Journal cutting ad rates in certain categories by 85% to 90%, can you talk about how that may or may not be hurting your numbers. I think your flagship paper ad revenues are up 1%, it certainly looks like it’s not hurting you guys much at all here.
Janet Robinson: We can confirm. Denise, you may want to jump in here in regard to the Times. We can confirm that the yield continues to be strong and up 1%. It is primarily due to mix in business. A lot of the high rate lines needles to say coming from corporate luxury, financial services. Denise, you want to add anything?
Denise Warren: No, I think that’s okay.
Janet Robinson: And in regard to the journal, as I think we’ve said often that they are certainly pursuing their strategy which includes discounting and deep discounting and pre-pages, but we have not seen any impact in regard to advertising schedules and we have not seen any measurable impact in regard to circulation impact as well. So they are certainly entitled to pursue their strategy, but we are focused very, very much on competing the way we always have, managing our business, putting very successful, creative, innovative ad programs across platforms together, selling our superior demographics and really making sure that people understand how we differentiate across all of the competitive set, certainly not just the journal.
Craig Huber – Access 342: Thank you. 
Janet Robinson: You’re welcome.
Operator: Thank you, sir. We’ll move on to our next question from Edward Atorino from Benchmark Company.
Edward Atorino – Benchmark: That was sort of answered on the cost side. Janet, this may sound like sort of a loaded question, looking at the Wall Street Journal product, was that what you sort of expected it to be, or were you looking for something “better”? 
Janet Robinson: I don’t think we had any expectations in regard to another media entities product development. We have expectations in regard to our own and they’re very, very high. But I think that anyone can look at the section and make their own judgment. And certainly talk to the people with the journal in regard to their strategy and how they’re pursuing it and what success they maybe having in regard to their section development.
Edward Atorino – Benchmark: Is there much difference in circulation trends between the – so the New York market and rest of the country?
Jim Follo: Yes, there’s a bit of a difference, but that is a trend that we had seen earlier and as continued. And there’s been no – really, no discernable change at all in that trend.
Edward Atorino – Benchmark: It’s better outside the country. Sorry, outside of the city.
Jim Follo: Folks that are outside New York.
Janet Robinson: And, we of course, have as you well know had expanded to the national expansion which continues to reap benefits in regard to the availability of the product in a variety of areas throughout the country. 
Edward Atorino – Benchmark: And are you hitting any markets this year?
Jim Follo: We’ll be adding a few. We’ve got a some local initiatives from San Francisco and Chicago as you know and we’re looking to target a few more markets to rollout that local initiative. In addition, we’re going to begin printing the Times at our Houma site and that’s going to expand distribution in that area.
Janet Robinson: And that’s Houma, Louisiana as I’m sure you know it.
Jim Follo: And that also is a two fold benefit. We’ll also get distribution savings from that maneuver.
Edward Atorino – Benchmark: Magazines, are you content with the magazine group, any more special products coming up, the T Group?
Janet Robinson: We’re seeing some very good performance in regard to our magazine. And as I noted earlier with Sally Singer coming on board, we expect that she will add a great deal of her expertise to the further development of a very successful T Franchise.
Denise Warren: Yes, the performance of T has been very nice. We’ve seen an improved performance, it’s up for the year, and the fall issue which we just closed it, it’s also up. So we’re very – we’re very pleased with the performance of that franchise as well as the luxury business online is showing dramatic growth as Janet had mentioned in her script.
Edward Atorino – Benchmark: Thank you very much.
Janet Robinson: You’re welcome.
Operator: Thank you. And I’m showing no more questions at this time. I’ll go ahead and turn the call back over to Paula Schwartz for any closing or additional remarks.
Paula Schwartz: Thank you, Jason. If you have any additional questions, please give us a call. Thanks again, bye-bye.
Operator: Thank you. That does conclude our conference for today. Thank you for your participation.